Operator: Good morning, ladies and gentlemen, and welcome to Ardmore Shipping Third Quarter 2016 Earnings Conference Call. Today's call is being recorded and an audio webcast and presentation are available in the Investor Relations section of the company's website ardmoreshipping.com. We will conduct a question-and-answer session after the opening remarks. Instructions will follow at that time. A replay of the conference call will be accessible any time during the next two weeks by dialing 877-344-7529 or 412-317-0088 and entering passcode 10095849. At this time, I would now like to turn the conference over to Anthony Gurnee, Chief Executive Officer of Ardmore Shipping. Mr. Gurnee the floor is yours sir.
Anthony Gurnee: Thank you. Good morning and welcome to Ardmore's third quarter earnings call. First, let me ask Paul Tivnan, our CFO to describe the format for the call and discuss forward-looking statements.
Paul Tivnan: Thanks, Tony and welcome everyone. Before we begin our conference call, I would like to direct all participants to our website at ardmoreshipping.com, where you will find a link to this morning's third quarter 2016 earnings release and presentation. Tony and I will take about 15 minutes to go through the presentation and then open up the call to questions. Turning to Slide 2, please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from the results projected from those forward-looking statements. And additional information concerning factors that could cause the actual results to differ materially from those in the forward-looking statements is contained in the third quarter of 2016 earnings release, which is available on our website. And now, I would turn the call back over to Tony.
Anthony Gurnee: Thank you. On today's call I will discuss our performance and recent activity, developments in the product in the tanker market. Then Paul will provide a fleet update and discuss our financial results in detail before handing the call back for summary and opening up for Q&A. Turning first to Slide 5, we are reporting earnings from continued operation of $10 million year-to-date including a loss of $1.8 million or $0.05 for the third quarter. The gap loss for third quarter 2016 was $4.8 million or $0.14 per share which included $3 million related to the sale of Ardmore Centurian along with the loss from continuing operations. In spite of the weak market, we delivered solid chartering performance with spot and pool MR tankers earning an average of $15,950 per day year to date and $13,250 per day for the third quarter. The market remains closely balanced as underscored by chartering activity followed by the recent two colonial pipeline outages in each case, with charter rates spiking significantly. We have taken delivery of the five of the six recently purchased eco designed MR's funded in part with debt arranged in two separate facilities as well as our equity offering from July and net proceeds from the sale of two chemical tankers early in the year which we disposed of at a gain. As a reminder, this transaction was slightly accretive to NAV but significantly accretive to earnings which should be very evident in the coming quarters. We agreed to the terms of the sale of the Ardmore Centurian for $15.7 million and delivered the ship to the new owners on October 4. While we are never happy to sell a ship at a loss, we believe we got a strong relative price and intend to redeploy the proceeds accretively as we have done before. And we are maintaining our dividend policy which is a payout of 60% from earnings of continuing operations. Consisting with this policy the company is not declaring dividend for the third quarter. Turning to Slide 6 for a quick look of our fleet profile; the main point to make here is that this is high quality fleet of modern fuel efficient tankers, all built at first grade Korean and Japanese yards. Our acquisition of six eco designed MR's and the sale of the Ardmore Centurian takes our fleet to 27 vessels with an average age of 4 years. We continue to emphasize operating efficiency and fuel economy as a way of leading our customers' needs as well as maximizing earnings for Ardmore. Turning now to Slide 8 on the product tanker market; product tanker rates softened in the quarter with MR spot performance of $13,250 per day in the third quarter compared to $16,300 in the prior quarter. We believe this market softness is being driven by the low average oil trading activity as a consequence of relative oil price stability and destocking of clean petroleum inventories in tandem with lower refinery throughput. Refineries globally are currently undergoing scheduled maintenance. US refineries are operating at around 86% capacity which is expected to result in continued de-stocking. According to the IA however, global refinery throughput is expected to increase by 4 million barrels a day between now and January of 81 million barrels a day when these refineries come fully back online. As said the market remains closely balanced with seemingly small events resulting in significant charter rates as evidence by the recent colonial pipeline outages. Yesterday, as a consequence of the pipeline fire, the Atlantic triangulation rose 200% to 25,000 per day. Now this is only one day of activity and maybe it will fade as the last one did in September when they had an oil spill. The fact is that it is evidence of a closely balanced market otherwise the rates wouldn't have reacted the way they did. In Q&A we are happy to provide a little more color in that regard. Meantime, the medium term outlook remains very positive. MR supply growth is declining and underlying demand growth remains strong. The MR order book now stands at 5.5 times the existing fleet which is the lowest level in at least 20 years. So far this year 98 MR's have delivered and 15 have scrapped. And we estimate another 17 would deliver through the remainder of this year which would result in net fleet growth for 2016 of 4.5%. And the order book is expected to be at or below 5% of the existing fleet by year end. As a consequence of the significantly reduced delivery schedule and ongoing scrapping we anticipate the net fleet growth of only 2% in 2017 and lower thereafter unless until ordering activity resumes on a large scale. Which we don't believe will happen until rates rise significantly and there is a fundamental shift in sentiment. Turning now to Slide 9, there are two significant developments in the regulatory regime for shipping which we believe will have a further positive impact on the MR sector. The first is ballast water treatment; there are two key statutory requirements. One is governed by the IMO and the other by the USA. The big news is that the IMO ballast water treatment convention was ratified on September 8, 2016 and so it's going to enter into force one year later on September 8, 2017. And we expect it will be staged in probably over the ensuing two or three years. Meanwhile the USA requirement came into force on January 1, 2016 but no systems have been approved by the USA coast guards so they are providing interim exemptions. So we believe that that will be somehow harmonized with the IMO with the phase in of the IMO requirements. Ballast water treatment systems installation is a complex issue for shipping companies. While many recently delivered vessels already have ballast water treatment systems installed. The vast majority of the world fleet basis the cost of installation which using current estimates may range from 600,000 to over a million depending on the ship titan size. The cost of installation is therefore significant and is likely to accelerate scrapping of older tonnage if the market outlook persists the cost of dry docking combined with the ballast water treatment system installation make them economically unviable at the time. The second development is the new low sulfur fuel oil standard. The IMO is determined that the cap of 0.5% of fuel oil sulfur content will come into force from January 1, 2022. And then they feel, seems like it's far away but it's actually only a little more than 3 years. We expect this will result in a significant increase in consumption of gas oil and the corresponding decline of the heavy fuel oil for bunkers for vessels. As well as the possible use of scrubber technology on some ships that operate more routinely, well sorry, that operate more regularly at a cost of some $3 million to $7 million to meet the emissions standard if they want to continue to burn high sulfur fuel. It's been said that there is likely to be sufficient fuel oil globally but not in the right places. And as a consequence there is potentially a major increase in MR ton mile demand coming. The effect of both regulations would be to hasten the scraping of older less fuel efficient ships, of all types and sizes including MR tankers and on top of that we think there could be a significant increase in meaningful ton mile demand in moving the fuel around the world. So turning now to Slide 10, on the chemical tanker market; chemical market charter rates average $16,500 year-to-date for our fleet and $14,400 for the third quarter. The market decline in the third quarter is consistent with the broader softness in the product tanker market. Our coded chemical tankers traded an increased proportion of chemical cargos in third quarter rather than CPP as the relative attractiveness of the CPP cargos has declined. Despite the current dip we believe the chemical tanker market outlook remains positive driven by underlying demand growth from increased product, production of petrochemicals in the USA, Gulf in the Middle-east and in particular commodity chemicals which are shipped to designed to transport. Meantime the chemical tanker fleet growth is expected to be relatively moderate, with the order books now around 11% of the operating fleet and expected to be down to around 8% by year-end which is actually low by historical standards. Due to an estimated 2.5 million delivering this year, resulting in net fleet growth of around 6%, the next few weeks we expect it to decline to around 4% as the delivery pace slows. With that I turn the call over to Paul to provide a fleet update and a review of our financial performance.
Paul Tivnan: Thanks, Tony. Moving to Slide 12, we will take a look at the updates to the fleets. Starting with the charts on the right hand side, you will see that as a consequence of recent accretive acquisition of six MR's and the sale of the Centurian, our revenue days will increase by 22% and by 13% to 9,750 days for the full year of 2017. In terms of dry docks we had 14 days in the quarter and we did not have any scheduled dry docks in the fourth quarter. As Tony highlighted, at this stage we have taken delivery of 5 of the 6 eco designed MR's we agreed to acquire in the summer and the last ship, Ardmore Enterprise is just delivered today. Finally we completed the sales of the Centurian for $15.7 million in the quarter which was a strong price relative to the market effecting its high quality in eco upgrades and the vessel delivered to its buyers on October 4. Turning to Slide 14, we reported a net loss of $4.8 million or $0.08 per share for the quarter. On the middle of slide we have a reconciliation of net income to earnings from continuing operations and we booked a loss on the disposal of the Ardmore Centurian of approximately $3 million and stripping this out results in a loss from continuing operations of $1.8 million or $0.05 per share. The company reported adjusted EBITDA of $10.2 million which represented a decrease of $14.3 million from the third quarter of 2015. For the year-to-date we have adjusted EBITDA of $46 million and net income of $10 million. Our operating costs for the quarter were $6,584 per day across the fleet including technical management and $6,356 for the year-to-date. OpEx for the eco designed MR's was $6,525 per day while the eco designed product chemical tankers came in at $6,240. Our eco mod MR's come in at $6,676 and our OpEx continues to run below budget on all the ships for the year. We expect total OpEx for the fourth quarter to be approximately $16.5 million. Depreciation and amortization for the third quarter was $8.4 million and we expect depreciation and amortization for the fourth quarter to be approximately $9.3 million. Corporate overhead costs were approximately $4 million in the third quarter which includes onetime costs related to financing and deliveries and we expect overhead in the fourth quarter to be approximately $3.9 million. Again to highlight our overhead includes commercial management cost of approximately $1.5 million annually which in many situations for other companies isn't incorporate into net revenue. This leaves our comparable at $14 million for a full year which works out at approximately $1400 per ship per day across the 27 ship fleet. Our interest and finance cost were $3.9 million for the quarter which includes $600,000 of amortized deferred finances and we expect interest and finance cost in the fourth quarter to be approximately $5 million which includes amortization and deferred finances of $600,000 plus deferred finances right off on the Centurian of $250,000. Turning to Slide 15, we will take a look at charter rates for the quarter. While charter rates for product tankers are not the same level as reported in 2015, the market continues to perform well for the year-to-date in spite of some softness in the third quarter as highlighted by Tony. At the end of the third quarter we had 19 MR's operating in the spot market and earning an average of $13,284 per ship. Overall for the fleet we earned an average of $13,889 for the quarter and $15,748 for the year-to-date. Splitting up for the various split types across all employment we had 14 eco design MR's in operations which earned an average of $14,769 for the quarter and $16,543 for the year-to-date. Our 6 eco mod MR's earned $12,258 for the quarter and $15,141 per day for the year-to-date. As of today our spot MR's are earning approximately $12,000 per day for voyages in progress with approximately 35% of the days booked for the quarter. Our eco design chemical tankers earned an average of $14,432 per day for the quarter and $16,362 for the year-to-date. Overall we are satisfied with the financial performance in the quarter which was achieved despite some softness in the charter market and demonstrated the value of our focus on keeping our cost structure tightly under control. And based on the company's policy of paying out dividends equal to 60% of earnings from continuing operations, we have not declared a dividend for the quarter following the loss of $1.8 million of earnings from continuing operations. Since initiating the dividend policy in the third quarter of 2015, the company has paid out a total of $0.71 per share as compared to $0.50 which would have been payable under the old policy and our Board of Directors have reaffirmed their intention to maintain the policy of paying out dividends equal to 60% of earnings from continuing operations as we move forward. Moving to Slide 16, we have our summary balance sheet, which shows at the end of September our closed set was $470 million which net of deferred finance fees was $457 million. We have total capital of $880 million and cash at hand of $53 million which leaves our gross leverage at the end of the quarter at 53.5%. Turning to Slide 17, following the sale of Ardmore Centurian, our debt will reduce by $9.4 million with the total debt repayments in the quarter of $19.5 million. We will draw down $17 million on delivery of the Ardmore Enterprise, which will leave our pro forma debt balance at the end of the year at $467 million. All of our debt is amortizing with principal debt payments of $45 million annually so we are continuing to deliver and strengthen the balance sheet. And with that I would like to turn the call back over to Tony.
Anthony Gurnee: Thanks, Paul. So in summary, then we are reporting earnings of continuing operations of $10 million for the first 9 months which includes a loss of $1.8 million for the third quarter or $0.05 per share. The charter market is experiencing softness in particular as a consequence of lower oil trading activity and global inventory de-stocking in tandem with reduced refinery throughput. Refinery activity is currently at low levels due to seasonal maintenance but according to the IEA is expected to increase from 77 million barrels a day to 81 million barrels a day in January. The MR market remains closely balanced with small events leading to surges in charter rates such as the recent USA pipeline outages. Additional cargo volumes coming out of increased refinery throughput plus seasonal factors such as weather delays and port congestion provide a positive backdrop for potential rate increases through the fourth quarter and into the first quarter of 2017. The medium term demand outlook for MR's continues to be positive driven by continued oil consumption and the resulting increased output from export oriented refineries in the Middle-East. The supply outlook is increasingly favorable. The MR order book is now at its lowest point in 20 years and is set to decline further at year end by 5% which result in supply growth well below demand growth for the foreseeable future. Meanwhile ordering activity remains virtually non-existent and as a final point Ardmore is well positioned to take advantage of improving rates with a high quality fleet of 27 MR's and an average age of 4 years. And with every $1000 increase in charter rates across the fleet equating to $0.29 per share in EPS and $0.17 per share in dividends. And with that we are now pleased to open up the call for questions.
Operator: Thank you. [Operator Instructions] The first question we have comes Doug Mavrinac of Jefferies. Please go ahead.
Doug Mavrinac: Thank you operator. Good afternoon guys. I just have a few follow up for you guys but the first being, looking at Q3, something that' interesting to me at least. We saw relative performance of your CPP fleet as well as your chemical tanker fleet soften a bit completely during Q3, yet on a relative basis the chemical fleet actually outperformed the CPP fleet once again in Q3, is it a trend or what now, but my question is even though both kind of softened, what do you make of the continued outperformance of the chemical tanker fleet? I mean is it less dependent upon tradable volumes, I mean what do you make of it? And do you think that that's something that continues beyond past couple of quarters but could be something that we should expect to see going forward?
Anthony Gurnee: You know it's a good question Doug. The rates, our chemical tankers were earning very good rates coming into the third quarter. So the first month they were killing it, then they came off fairly sharply. So I think they are probably down a comparable amount. Having said that they do have the potential to outperform the MR's. These are fairly large capable ships. In fact, their capital cost is quite close to that of an MR. And they do have their own market and their own life and they can do very well independent of the CPP market. In the past we have always characterized the chemical segment in our fleet as kind of being, one or two innings behind the MR but we might be in a phase that for the next while they could very well be real boost to the bottom line as opposed to something that's laggard. And the other thing about the ships is that they are brand new eco design ships. They are very capable and also very fuel efficient.
Doug Mavrinac: Got you, very helpful Tony, thank you. And then my second question has more to do with kind of the outlook and more medium term outlook and you guys did a very good job to describe being things of the demand side as far as you thought the outlook was attractive there. And also highlighted both the minimal order book that we are expecting to see in the near term, but my question pertains to the ramifications of that order book. So not in the near term of 2% net fleet growth next year, but we are seeing shipyards closing because they are not getting any orders particularly yards that created the product carriers. So my question is what are the ramifications to those closures? What are they doing now and how quickly could those guys come back? In your commentary Tony you mentioned that if you start seeing conditions improve, you could expect to see an uptick in order but I am just wondering if those yards close, how quickly can that uptick in ordering materialize.
Anthony Gurnee: Yes, it really is a fascinating development and I think what makes it even more intriguing is the fact that it's getting very little player attention. And that's great and it does feel like a train wreck in kind of a good way. Not necessarily so it is pretty amazing that it's gotten down to these levels and looks at to continue to decline. The reality is that the MR segment is huge, it's about 2,000 ships and so if you think about the demand growth of even 4%, with little bit of scrapping. You need 80 ships to 100 ships delivering a year and we have been ahead of that for the last couple of years but now by much. Now looking forward, it could be very low and the question, you know that could be very positive for eating through any surplus that exists right now and then getting it to a situation where it will take a minimum of 15 months to 18 months to get the first ships to be delivered once they are ordered again. The volume of tonnage needed for that ongoing growth is quite huge so we are very bullish about it. We hope that it's not going to result in any large scale hoarding before we do see it pick up in rates. And that should give us a really good runway for a couple of years. In terms of Korean yards, what's interesting is that the only yard that's kind of the core builder of MR's that's part of a large group is [indiscernible]. The others are second tier yards that government doesn't seem to be really focusing on right now and so that's even more positive, it's difficult for them. Question is how quickly could these guys come back. They aren't gone forever. Let's not kid ourselves but it will take them many months to be really back up running properly. Without naming names, the only yard really that you could go to today that we think and with confidence ship would be at Hyundai Mipo. And all of these yards have newfound financial discipline simply because they are bankrupt and the banks are controlling them and they have no interest in continuing to support ongoing losses simply to keep employment up in a certain area. So it's all positive. The other two countries that can and do build MR's are Japan. In the case of Japan they don't really have berths available until 2020. Now that might change a little bit but there might be some at the end of 2019 but that's a long way out. And they still tend to be a bit on the expensive side. And China is still really honestly lagging in terms of the quality that's expected if you are going to trade in the business we are in with regards to quality of coding's and just getting the design right and having it shifted can confidently, have a good batting record and a good trading record. The one yard in China that was kind of core MR builder has gone through major restructuring and has moved their production facility so, we will see what impact that has, so overall in terms of capital availability, in terms of yards willing and enable to build, actual capacity in yards and sentiment in the market, it's all pointing towards continued little or no ordering activity.
Doug Mavrinac: Alright, got you. All very helpful. Thank you for that Tony and then just final question on the M&A front and not particular to you guys because I know you just pulled the trigger on an attractive acquisition and over the summer taken the delivery of 5 ships already but just systematically, you look at asset value of having come off in the recent months lightly because of the decline and earnings over the last handful of month as well. But you have this setup where structurally on the demand side oil demand growth is doing fine north of a million barrels a day, for finding capacity distance are doing fine and as you mentioned you have this uptick in global refinery uptick in throughput from Q4 to Q1 and as we talked about the supply side, things are setting up very attractively. So do you think that's pretense environment where we may see more M&A going forward, more either one off acquisitions or mergers within the sectors of stronger corporate players taking advantage of their position and the outlook by potentially poaching either assets or private companies. So what's your view on the M&A over the next 12 months within the sector kind of given the sector we are in?
Anthony Gurnee: Yes I mean you are right. The activity could pick up, I think for companies that do have capital and are generating cash flow in a recovering market at some point. And hopefully in the near future that would give those companies an unfair advantage in snapping up opportunities and maybe at that point, it will go beyond one by one and blocks of ships or actual kind of ownership units. So yes, you're right. If what we think is going to happen which is going to be a classic shipping upturn with a good runway, in the beginning the rates are going to get ahead of asset values and that will be a tremendous opportunity for those companies that are positioned to take advantage of that.
Doug Mavrinac: Yes, perfect. Thank you for the time, Tony. That's all I had.
Operator: Next we have Jon Chappell of Evercore ISI.
Jon Chappell: Thank you. Good afternoon. Tony just a couple of questions on your fleet but also in the global fleet is kind of understanding things a bit better. If you take yesterday and today out of the equation with the colonial pipeline obviously TC2 and TC14 the two benchmark routes have been particularly week over the last couple of months and I think that gets a lot of publicity numbers that you and other public companies are significantly higher. Could you just help us understand what other major roads that you are clawing right now and how to think about global averages as opposed to maybe just two benchmarks which may be pretty misleading?
Anthony Gurnee: Yes Jon, it's a good question and one that we discuss from time-to-time. There are ship broker reports that actually have a basket of sort of 12 routes to 14 routes that they give you more balanced view on what the earnings are. The other important adjustment to make is that very often you put in standard speed of consumption. You got one number but if you put in the eco speed and corresponding consumptions you actually get a number that is a couple of thousands a day higher just from that. This is a trading game. We are in the business of beating the benchmarks and beating the index and one way you do that is actually minimizing ballast time. Now just inherent in the TC2 TC14 triangulation there's not a lot of ballast time you can squeeze out of that pattern but there are other areas. But you know MR's trade globally but the major markets are South Asia, North Asia, AG East, some AG West, AG into East Africa. You got a lot of inter Europe trading. You have Europe and USA Gulf down to East Africa. You have got the classic Atlantic triangulation, you got a lot of cargo coming down the both East Coast and West Coast of South America. You have some arbitrage cargos that move out of the USA Gulf all the way to the Far East to North Asia. So it's a really complex trading pattern that makes it maybe a little bit analytically but it also makes it very durable. So I will only recommend is if somebody sees 3,000 or 4,000 on TC2 or TC14 or a combination or something, if they really want to get the answer it's in much broader basket on a global basis and there are some broker ports that cover that.
Jon Chappell: Yes, I think that's been proven in your results last few quarters. And then also just as we try to think about the opportunity now for seasonal update as refineries come back from heavy maintenance and the recent disruption. How is your fleet in a position today, obviously not an issue about where are they but it seems typically the Latin America tends to be strong in a four quarter season so maybe more short haul routes for you. Does that give you a lot more opportunity to take advantage of the types of spikes we are seeing today as we go through the rest of the quarter and compare that to what you have done quarter-to-date?
Anthony Gurnee: I think companies will take a strategic view on whether they want to concentrate East or West or balance. We tend to want to have a global balance. Beyond that the reality of the trade is that you follow the money and if we have excellent, if we have two ships fixed out the USA Gulf carrying naphtha [ph], at the time very good rates, about a month ago. And of course we took that because very good rates. If we felt they were going into a black hole of Far East market we wouldn't have done it necessarily but we felt they would probably do okay there. So, to kind of position ships tactically tends to be quite difficult to do so it's really more whether you want to balance the East versus West. And if you have that you generally, you find that you are in position to get lucky when certain things spike or move. The other thing you can is decide to stay relatively short out of the USA Gulf or do a longer haul trade down to South America depending on your view of the market. So those are the kind of levers you can pull but beyond to be honest, it's -- I think pretty difficult to be more tactical and sort of focused on in a particular trade.
Jon Chappell: Got it, that makes sense. Thanks a lot Tony. I will turn it over.
Operator: Next we have Noah Parquette, JP Morgan.
Noah Parquette: Thanks. I was just hoping you would go a little bit more detail what the markets been doing the last couple of days. What the pipeline outage is, how much, how long do you think that strength will persist and how many of your ships are in a position to take advantage of it?
Anthony Gurnee: We have, in Northern Europe we have two ships open right now and we are looking at cargos. So what happened was TC2 which is Europe to US East Coast which went from world skill 87 on Friday to a peak of 75 I think yesterday. Now, those were put on subjects and not very many were confirmed and I think the highest number that was confirmed was somewhere between 130 and 150. So, there's difference between what somebody puts on subjects and what you actually get done. But at the same time TC14 is goofed up because the effect of the pipeline closure has been a deficit, a perspective deficit of gasoline on the East Coast but also a surplus on the Gulf Coast. And so, both markets have moved and that's what's happened on TC2 and TC14, I think it went from 75 up to 130. The combination of 130 and 150 is something like 25,000 a day at eco speed. So that's a very significant move. It's about 200% jump. We think it could settle in the high-teens 20,000 a day for a while until things clear up and the aftermath of that flows through. We are trying to find as much as we can obviously about situation with the pipeline as everyone else. Everybody seems to be quite sure that we are going to be open for business again on Saturday and yet if you read the actual press release from Colonial, that's not what it says. It says that they expect to be back in business on Line 1 sometime after the end of the week. So maybe they were more specific on a conference call or something or a press call. That's what we heard, but it's not a sure thing that it's going to be back up and running, I don't think from Saturday. We'll see how it plays out. Obviously, it settled in with those kinds of rates. That would be fantastic. We actually don't expect that. We think it will drift down again, but the bigger message for us is that this market does have legs and it has life and it doesn't take much to move it quite dramatically.
Noah Parquette: Okay. And kind of a broader market question, I think I asked this a couple of quarters ago and you said it wasn't material, but how much of a factor now that -- as you also see deliveries are -- does that initial voice to gas oil? Is that impacting demand for your market? What are you seeing there?
Anthony Gurnee: It hasn't been a topic of discussion for a while now. I could get back to you. I don't have the information at my fingertips, but I suspect that the activity in that area has slowed down because the crude tanker rates have actually moved up quite a bit.
Noah Parquette: Okay, thanks.
Operator: The next question we'll have comes from Ben Nolan of Stifel. Please go ahead.
Ben Nolan: I'm sorry, I couldn't quite hear. This is Ben Nolan. I don't know if you have said my name.
Anthony Gurnee: Hi, Ben. We heard you and yes, ready for your question.
Ben Nolan: Okay, good. Yes. I have a couple. The first is I know in the last few quarters - well, I guess maybe throughout the duration of the year so far - one of the area that's been a lag has been imports into West Africa or into Nigeria specifically and from my understanding, that was because they weren't able to import because they're going to have the funds to import as a function if not, exporting as much on crude. We've seen Nigerian exports increase. Just curious, I believe, also began to see an increase or if you guys have begun to see an increase in imports of refined products and what impact that might have on the overall supply and demand balance from your perspective?
Anthony Gurnee: Yes. It hasn't really begun, it hasn't gotten back up to normal levels yet, but there has been some activity and it's one of those elements which could really come into play this winter. Typically the market really moves substantially when you have a sequence of events happening or things happening in different markets or in different parts of the world all at once and it just uses up the surplus of ship days available. That' something we're watching carefully and we think it's maybe beginning to come back to life, but not a lot of activity yet.
Ben Nolan: Okay, that's helpful. And then the other thing I was going to ask, is it don't look like you have been - earlier on the call you - weren't active on the buyback program at all. Obviously you want to be conservative with your balance sheet, but where is your thinking on that at the moment?
Anthony Gurnee: Well, we do have the $25 million share repurchase plan in place and it's there to be used at the right time. It's something that we discuss with the board periodically and we'll continue to look at it and when we think it makes sense versus balancing all the priorities and opportunities, we will be active. But it's also something that as you know from the past, we tend not to want to talk about it until after the fact.
Ben Nolan: Okay. Well, that was it for me. I'll turn it over. Thanks, guys.
Anthony Gurnee: Thanks, Ben.
Operator: Our next question comes from Mike Webber of Wells Fargo.
Mike Webber: Good morning, guys. How are you?
Anthony Gurnee: Good, Mike.
Mike Webber: I just wanted to follow up, Tony, on your comments earlier around the colonial outage and obviously there's a lot that's still unknown, but based on your experience -- as if we're up and down the East Coast -- how long of disruption do you think we would need to see before you get kind of a material, rippling impact through the tonnage list across the different basins? Like when you start saying, 'How long do we need to be offline?' before you start saying, 'Tonnage is actually balancing here' and you start kind of throwing off that global balance which can take a little while to unwind, right. So if you could add anything about that context?
Anthony Gurnee: Okay. Your conjecture. So, who knows? But it's something obviously that we all been talking about the last 48 hours, but my guess is that if you -- it's all you know if it states largely, price driven, commodity price driven. So if you see the board later this morning has a press conference and they say hey, sorry it's actually going to be at the end of next week, I think all hell is going to break loose, and that will result in rates going back up to the sort of triangulations of $25,000 level, and so getting lifted and a lot of ships movement, because that'll just be as efficient period of outage. And the other thing that's different between now and when the oil spill happened is that the gasoline inventories on the east coast are much lower, and the tonnage list is shorter. So it wasn't really a lot of access just now, it goes beyond that, what interesting is we did a -- and again this is just conjecture, but if you look at the -- let's say if you permanently shot out a million barrels a day of flow, you got sort of 3.5 or 3 MR lifting's required to come into the East Coast and 3 to come out of the Gulf, and since it can't trade coastal because the Jones Act, they're going to be going different directions and if you've been -- put an average voyage link to kind of eventually get back in position, there is a shocking number of MRs that would be required, it could add up to another 120/150 MRs equivalent of demand. Maybe not all on MRS, maybe some LR ones as well, but the point is that there would be significant especially since it's going to be in one basin, we're roughly half the tonnages, and so you can double the percent impact on that basis. So, then it gets really exciting, and then you see ship balancing in, and you see a knock on effected in all markets.
Mike Webber: Okay that's interesting, can we get the 75, but I think we got more limited destinations and I guess the bigger, but still big number, I guess the question is, where is the tipping point right when you actually start saying a lot of assets heading to the region to take advantage of the grades?
Anthony Gurnee: Yes, I mean the last time that with this bill it was like 10 days, and that was lot of gasoline inventory and there were a lot of ships on the tonnage list, so this time our tonnage gets to 10 days, with these new conditions it can be quite different and because to 2 weeks or 3 weeks or whatever, which is hard to conceive up to be honest, because they do have this ability to kind of do you - you're very quickly put bypasses in place, but that if it goes beyond, it'll be interesting to see if that stretches from Saturday into next week, it will be a bit of excitement for sure.
Mike Webber: Interesting, now it's helpful. I thank you for saying it that [indiscernible]. I know you've dealt this and you kind of touched on inventory levels and we've actually -- we've spend a lot time looking at the U.S. but in Europe -- it's pretty elevated distillate inventories that kind clamps, kind in a Middle East, kind of a Russian Baltic to Europe trades and I'm just curious whether you get to mention the stocking mostly that we see in a centralized around the U.S. and where you think there's trade flows can pick up it all heading into the winter.
Anthony Gurnee: I guess what we've been reading and hearing is that the refinery turn arounds in Europe have also resulted in diesel gas oil inventories declining, so I think we may be kind of a -- sort of all surreptitiously getting into significantly stocking phase now. That will only become apparent in in January or December.
Mike Webber: Okay, that's helpful. Just one more in on alternatives over in Slide B, I've been -- You almost identical this quarter we talked about the ballast water treatment and scrubbers and then kind of the incremental CapEx, or group you have the sector staring at the next year to year and a half. And they were also kind of in the middle of the number of different companies kind of renewing their tweets. I'm curious whether considering you're cost structure in your ability to operate some of these assets. would you look at the potential CapEx coming down the line for say middle aged tonnage, as an opportunity to be able to maybe kind of approach some assets in the middle age, kind of age bracket there that you would not ordinarily swing at you get them at a discount and operate them successfully or is that if you knew looking at purely as a factor that can drive incremental supplies in the market.
Anthony Gurnee: We obviously evaluating the cost of that palace water treatment system installation in a second hand acquisition would be a key component but, there are other factors at play and right now the acquisition with each other that -- the sort of the target acquisition prices on the ships is so low that you wouldn't worry about the incremental cost of balance water treatment.
Mike Webber: I was wondering whether it shakes loose for you guys or whether it presents an opportunity?
Anthony Gurnee: It's down the road a bit but it's the kind of thing where again we're talking about spot market building on a few events happening in different areas. And from the past that that happens and in major cycles as well so if you've got a some increase global economic activity, combined with oil price volatility. The combined with getting back to normal stocking levels, combine to the prospect of the 2020 soft cap and then older ships nipping scrapped it out, you know you sort of bang, bang, bang things happening. And click on it soon it can make a huge difference but it could factor into accelerating scrapping on all chips. And you have to remember that you know the MRC after the average age is scrapping is kind of 23 to 25 years, and there are significant number in that age bracket and when they do go it does have a big impact on aggregate supply. A slightly more modern ship goes in to replace that not there's a knock on effect that way. And so, the impact of a ship being scrapped the 20 years of age and so 23 -- a lot of ships reaching that decision at a certain point time could have a very meaningful impact on our supply; and therefore on the balance and really move rates, or contribute to moving rates.
Mike Webber: Appreciate your time guys. Thank you very much.
Anthony Gurnee: Thanks, Mike.
Operator: [Operator Instruction] Next question from Magnus Fyhr with Seaport Global. Please go ahead.
Magnus Fyhr: Thank you. Just one question left. You mentioned the fleet growth on MRs only around 2% next year. We're seeing weak rates with the LR1 market and pretty big fleet growth next year. How do you see that playing out? Could it be some encroachment on the LRs going into the MR market? Or is that not likely?
Anthony Gurnee: There is overlap and that's the reality of it, but the other reality is that the LR1 sector is relatively small and actually a lot of them trade 30. There is an impact in particular when you look at chartered reports and you see LR1s, TCEs well below MRs. You know that they'll do everything they possibly can to get into MR business, but it's not so easy because of the port constraints and the dimensions. So it's not a particularly great concern at the moment.
Magnus Fyhr: Okay, thanks.
Operator: Next, we have Fotis Giannakoulis of Morgan Stanley.
Fotis Giannakoulis: Yes. Hi, Tony. We talked about the weakness of the market partially as because of the lack of trading activity, part of it is because refinery margins up, a bit because of the refining maintenance season. But these are temporary factors and I guess that they can change at any given time. Do you see this confidence that you have for the market to turn to be shared by some of the traders, the charterers? Are they willing to take toners for longer periods, have there been any discussion to secure vessels at the current low rate environment in anticipation of a price increase?
Anthony Gurnee: Well, there has been quite an increase level of time chartering activity, but at very low levels, at levels that we would never consider participating in; arguably we should be chartering in, and not chartering out. And it is mostly oil traders, but -- they don't necessarily need to charter-end to make the budget or make their year. The freight trading activity for them is an important support to their oil trading activity, but the bulk of it is done through price discovery through spot trading - not through having a captive fleet of time chartered end ships. Just because they're not necessarily chartering end ships in large numbers doesn't mean that they're not as bullish as we are for the medium term. But I think for them as we understand that the issue is that you were in an environment where there's relatively low oil price volatility, the forward curve is relatively flat and there's not much in the trade, so they're quite risked off at the moment.
Fotis Giannakoulis: Can you also comment for the other opportunities for project transactions? We saw that you don't have closed a long-term charter with Valero. I was wondering if Valero and other of these players would be interested in providing contracts with forward start -- couple of years forward that will result in additional new buildings. And given the fact that asset price, they have softened in the ship years, they do not seem to have a lot of orders. What do you think is the bottom for revenue building prices? How low can a shipyard go; if you can give us an estimate on the cost of construction that they have?
Paul Tivnan: Well, with regard to long-term projects, it's not really our business model. Maybe there are others that would be more suited to and maybe someday we'll look at that kind of business, but it's not something that we're actively marketing for. My understanding is that that relationship between Euronav and Valero is decades old; the predecessor companies on both sides were engaged in Ice Class [ph] Suezmax activity and I think that it's a renewal of that business and that's great. Obviously it's a trusted relationship and one where there is a requirement for not just being kind of financially viable and reliable, but also having operational experience and capability and real operational relationship. That's I think quite special and hats off to Euronav for that. Regarding new building prices, we don't get a sense that they can go much lower. If you look at what happen in Korea, they all went bankrupt as consequence of competing and pushing the price down and signing up for options that I guess they never thought through the consequences of what would happen if they were all exercised. They don't have the financial wherewithal or support to do that and so we don't think that there's a lot of risk of significant decline. You might see some yards just dropping the prices to get enough ships on their books to keep the yard and life support, but in terms of the large scale ordering that we think is going to be needed to sustain just the MR fleet through the medium term with the growth prospects, we don't think that's going to happen by yards dropping the prices from here.
Fotis Giannakoulis: Thank you, Tony.
Operator: Well, at this time there appear to be no further questions. We'll go ahead and conclude our question-and-answer session and today's conference call. I would like to thank the management team for their time today. And again, we thank you all for attending today's presentation. At this time you may disconnect your lines. Thank you, take care. And have a great day everyone.